Simon Pitaro: Good morning, everyone, and thank you for joining us today. On behalf of Hazer Group, I'd like to welcome you to this December quarter investor webinar. [Operator Instructions] Presenting today is Hazer Group CEO, Glenn Corrie; and Tom Coolican, who will take you through the December quarterly report and provide an update on recent operational and commercial progress. I'll now hand over to Glenn and the team to run through the presentation.
Glenn Corrie: Thanks, Simon. Sorry for being a few minutes late, a few technical issues this side. Good morning, everyone. Belated Happy New Year to all of our shareholders, and welcome to our Q2 webinar. Thanks for joining today. As Simon said, I'm joined on the call by Tom Coolican, our Chief Operating Officer. Tom has been with us for 18 months. I'll let him introduce himself shortly, but he's been at the forefront of a lot of our strategic projects, been managing a lot of the graphite monetization work that we continue to share. But importantly, he's also been at the interface with KBR, and he'll share some of those insights with us all shortly. Together, we'll present the results from the quarter. Our quarterly results or at least our report was out last week. We'll also share some other highlights. We've received quite a few questions in the last few days, so we'll try and get through most of those this morning. If we don't, we'll endeavor to get back to you as soon as possible. So Tom, over to you for a very quick introduction before we get stuck in.
Tom Coolican: No worries. Thanks very much, Glenn. Good morning, everyone. My name is Tom Coolican, I'm Chief Operating Officer here at Hazer. And as Glenn said, I've been here now for 18 months. So I've spent more than 25 years in upstream energy across major oil and gas companies and also mid-caps as well as start-ups as well. So previously, I've held roles with Woodside Energy, with ENI, the Italian operator, also Jadestone Energy and then more recently with GR Production Services as their Executive General Manager. So what drew me to Hazer? Just as a quick side note, I guess, look, I think it's still -- having been here for 18 months, I think it's still the most promising decarbonization technology for the energy industry. I think that what stands it apart is really its scalability and the ability to actually deliver clean energy where it's needed. So yes, nothing's really changed since I first sort of came across the company, and I still feel very confident that this technology is on the right track. So I'm very happy to be here today, and I'm looking forward to sharing the results with you.
Glenn Corrie: Great. Thanks, Tom. All right. If we can just move, Simon, on to the third slide. Great. Well, look, I know everyone is familiar with our vision and mission. Just to recap on our technology for those that are not necessarily that familiar with it. We transform methane emissions. Methane is 25x more harmful than CO2. We convert those emissions into clean energy in the form of clean hydrogen and critical minerals in the form of a very high purity form of graphite. I like to talk about the technology as one technology that serves 3 markets: the hydrogen market, the graphite market or the critical mineral market as well as overall industry decarbonization. So we're at the forefront of the energy transition, if you like. But the really important aspects of our tech that are, I guess, the differentiators and the competitive advantages is that we're low cost. We're a pragmatic, practical, scalable solution, as you will see again today. that integrates into existing facilities and is available to decarbonize a very, very dirty industry today. And you'll see again the size of the industry, the size of the problem and the size of the opportunity for Hazer and our advancing technology. In terms of our agenda, which is the next slide, we're going to effectively just recap on our highlights for the quarter. We will then do a brief update on the hydrogen market, touch a little bit on graphite. Tom will talk to the technology scale up and our go-to-market strategy. We'll come back and talk about steel, that Whyalla opportunity that we've talked about in December last year, the POSCO extension. So there's been a lot going on in steel. Hazer Graphite, of course, the other part of our technology, a corporate update, the catalyst for the next 12 or 18 months and then open up the call for our Q&A. So just jumping straight into our highlights. Thank you, Simon. We posted a solid quarter of performance. We continue to build on those foundations, those important foundations of commercialization and set that stage for a pivotal calendar year ahead. Firstly, we're making really good traction with KBR. Not forgetting, we only signed this deal back in May last year. We got working in earnest in June and July of 2025. We've made excellent progress on the design package and the commercial scale up, not forgetting that we are designing and developing large-scale commercial facilities that are capable of decarbonizing one of the world's dirtiest industries. So -- it's a massive piece of work. We could not be doing it without KBR in terms of the design package. It is on track for this quarter to at least get in front of customers and give them the dimensions of what they're faced with in terms of integrating our tech into their facilities. And in parallel, the global marketing campaign with KBR is also in flight, and Tom will talk to that shortly. Secondly, we cut our first Hazer, KBR transaction with Energy Pathways. So good to get out of the blocks with our alliance with Energy Pathways. It did gain U.K. government recognition during the quarter, which gives it access to some good fast-track approvals. And that project has now progressed through to revenue-generating project, which is the second for the company, but the first for the alliance. So big things in front of us there. It was a pretty big quarter as well for steel. So there's a bit of a deep dive in the pack on steel and how Hazer fits into the overall process. We joined forces with a group called M Resources. We're very excited about this partnership, and we are really strengthening their bid for Whyalla. So we'll talk about that a little bit shortly to the extent we can. And in addition to that, we also signed an extension to our strategic partnership with POSCO after some very positive graphite testing results that they've been undertaking over the past 6 to 12 months. In terms of graphite, we continue to product development, market development progress is still going on. Hazer Graphite is now being confirmed suitable in a number of industries, cement, steel, of course, and we're looking very closely now at asphalt and bitumen. So really big markets, really big opportunities there for our graphite as well as other industries. And then finally, we continue to engage constructively with governments at the federal level, at the state level. And we continue to see improving policy framework at the federal level, which is very important, starting to recognize methane pyrolysis and what Hazer does as a viable clean hydrogen pathway. So we'll talk more about that as well. In terms of numbers, we ended the quarter or in fact, we start the year with over $17 million funding position or cash position. That was bolstered during the quarter by over $5.5 million of inflows that came from the R&D rebate. That came from $1 million and a bit that came out of the capital raise proceeds that was approved at the AGM. Thank you to shareholders for approving that. Our cash burn, you'll see is down substantially quarter-on-quarter, about 30%. And year-on-year, for the same quarter, is down 40%. So we continue to strip out CapEx, strip out any residual OpEx out of the business, and that gives us that extended runway through what we consider to be some fairly significant milestones ahead of us. Looking ahead, we continue to maintain that strong liquidity. We've got more grant funds in the pipeline. We've got revenues flowing from Canada and now the U.K. I'd expect that trend to continue and, in fact, increase as we mature those projects. And not forgetting that we don't have that $4 million to $5 million that KBR are contributing in that $17.2 million either. So that's additional to the work, but that's offsetting a lot of the work that Hazer is doing on the ground. Our pipeline, I'll talk about shortly, but that's increased to $51 million. It's more about quality over quantity. But again, just illustrating that we continue to see strong demand for the tech, and I'll give a bit of insight into that very shortly. Just moving to the hydrogen market. Look, it's a big market, a big problem with a big prize, okay? We -- and this is the problem that we're trying to solve, which is it's -- currently, the addressable market for Hazer is about 100 million tons and that you'll see that on the bar on the left. To put that in context, people often ask, how big is that? Well, actually, it's valued at $206 million -- sorry, $206 billion on order of magnitude out there. But that in context is effectively equivalent to the global iron ore market. So you can give some scale to this. And all of that is produced with steam methane reforming, an incredibly carbon-intensive process, 1 ton of hydrogen, 10 tons of CO2. And it's responsible as a total industry for 920 million tons. Again, in context, -- that is 2x Australia's total CO2 emissions today. So it's a massive industry with a massive problem that Hazer has the opportunity to disrupt. The growth you'll see on the right, ammonia, 3x in the next 25 years, but steel 10x between now and 2050. And we're starting to see that. The deal flow is increasing in steel. We've been public on 2 opportunities. We're very well placed with ammonia with KBR. They're the world's leader in ammonia technology as well as methanol, and we've got the deal flow now coming through steel. So we're well placed on those growth industries. And we've got a very exciting period ahead in terms of our ability to disrupt today's industry, not the future industries, but today's industry. A few words on graphite. It's still a very hot market. It's a critical mineral of the highest order. The U.S., the U.K., EU, Australia of course, have got it at the top of the list. It's a major component of the energy transition, and it's a major sovereign risk as China continues to control the supply side, and Tom will talk about the opportunities we've got on graphite very shortly. In terms of how the industry is playing out, we continue to see methane pyrolysis coming of age. Some of you have picked up the news flow. We're witnessing a shift. There's growing industry support, government investor support for the technology is a viable hydrogen pathway on the back of the challenges that green hydrogen faced over the last 2 or 3 years. ExxonMobil has now come into this space. They are one of the world's largest publicly listed companies. They are $0.5 trillion. They've teamed up with BASF to develop a technology. So that's a really big signpost for the industry as well as the technology. And I'm very confident that's going to spur demand from others in this space like Shell and Chevron and ConocoPhillips and others that see this as a viable technology. KBR, of course, it's a growth pillar for them. We teamed up with them exclusively to get ahead of the game last year. And we're also seeing a big shift with government policy and changes. The U.K., the U.S., Japan all recognize methane pyrolysis now as a viable pathway. And I'll talk shortly to how Australia is now gauging this through the Guarantee of Origin scheme, which is now seeking consultation on methane pyrolysis. So in summary, the industry, the government, the investor support is all starting to gain momentum, and that's very exciting for our company and our technology this year. Tom, good time to talk to, I think, technology scale up and the go-to-market strategy. Thank you.
Tom Coolican: Yes. Thanks, Glenn. Okay. So just a quick recap. KBR, one of the world's largest engineering companies, and we signed up with them about 9 months ago now. So it's been a heck of a well within 9 months. Getting up to speed with a playbook of a major multinational that scales up technologies has been a big challenge for us. And I think that getting these early days out of the way, getting the first run on the board, I think, has been a real game changer for us. And it sort of puts us in a position where we are confident that this model works, and we're seeing the first paid study starting to come through. So that's the line of sight that we see to real growth. We've got basically an 11-year term with KBR, and that's backed by a USD 3 million contribution from them. So engineering services and support, in-kind marketing, all sorts of, I guess, growth tools that we need are being provided and supported by KBR for us. KBR's engineering is sort of world-class and world known, and many people will know KBR as the company that delivers some of the largest mega projects in the world in the billions of dollars. But KBR's technology division is a completely separate division that licenses into a lot of those projects. And we are one of 80 technologies that's licensed by KBR into those projects. So there's a lot of new and emerging technologies that KBR continues to incubate and grow and help sort of turn the corner. But there's also the real traditional KBR technologies like the ammonia licensing that just very briefly, ammonia licensing for the ammonia plants that produce a fertilizer around the world, KBR licenses about 50% of those. So they have a very traditional playbook on how to make these really large-scale technology licenses and then also a growth playbook as well, which we are really locked into. So we're firmly in execution mode at the moment with KBR. We're following the bouncing ball. We're following the standard process that they use for developing and growing a technology. We've secured our first revenue-generating study, and we are part of the net zero portfolio. So the big thing now that we're working with KBR is those larger trains and larger projects so that we can engage with the biggest companies in the world for industrial decarbonization and making sure that our large-scale single train capacities are really solid. Just one last thing to mention on that. The cultural fit between KBR and us. We feel pretty lucky actually. We've got similar values and cultures. They're a real creative and inquisitive type engineering organization, and we get a lot of that really good feedback between us that we seem to work pretty well together. We -- scaling up their technologies or scaling up technologies is what KBR's DNA is all about. That's how they've built their company to the scale that it is today. And then following the scale up to deployment and multi sort of industry and multi-global technology deployments are what they're really good at. So yes, we do feel like we found a very high-quality partner in KBR, and we're working as closely as we can with them to really scale up with them. Next slide, please, Simon. So marketing-wise, they started off sort of extracting all of our information and all our existing marketing information to develop all of the package of marketing tools that they have. They need tools that they can actually deploy through their website. And if you go on to their website, you'll see that we're in the clean ammonia and decarbonization section of their website today. They're also fantastic on LinkedIn and marketing and promotion and just getting out there at conferences all around the world. They're at the major global conferences, everything from the ADIPEC conference in Abu Dhabi recently to, I believe they'll be in Barcelona in 2 weeks, again, promoting the technology and really pushing the -- this is a new solution for industrial decarb. So it fits into the industrial decarb toolkit that they use when they talk to their major clients. One thing we like about the way that they do their marketing is that they're actually quite responsive to market forces and market changes. So one month, we'll be talking about how do we make sure we've got clean hydrogen in the best markets in the world. And the next month, we're talking about structural infrastructure projects and how we can actually make sure we've got a solution that works with steel or works with concrete. So they do move pretty quickly. Next slide, please. If we can go on to how we're going. So run #1 on the board. So the Marum Energy Storage Hub project that Energy Pathways have developed and are developing in the west of the U.K. near the Lake District is a complex integrated energy project. And for KBR and Hazer together, this is our first paid concept level, so concept engineering study. So it's great. We're working really closely with KBR, but we actually really like the way Energy Pathways does their business as well. They're integrated really well with the local community, the local government and also their national government as well. So the U.K. government has actually designated this project as a project of national significance. So it's actually a national energy significance project. It covers everything that Hazer has wanted to do. So we've got the hydrogen conversion project and the technology there from methane. We've also got the integration to KBR's ammonia technology as well. And EPP is able to get to fast tracking the government approvals. They've got government support from the ministerial level. So they've got focal points so they can work with to make sure that we don't have any of the usual large-scale robots when we're doing the engagement. But at the same time, they seem to be very connected on the ground as well. So for us, it's a 20,000 ton per annum Hazer facility. So it's right in that sweet spot for size for economics. The study will be ongoing for the next couple of months. Feasibility scope progress is for hydrogen, ammonia and graphite production and EPP are actually actively looking for ways to deploy graphite at both that industrial large-scale supply, but also at the high-end supply as well, which we think is very exciting. And we are leveraging the KBR Alliance for that ammonia integration with their traditional ammonia technology. So from a COO's perspective, just operationally, I'd just like to say that with the commercialization strategy that Hazer has been on, this is the operationalization of it, if that's a word. We're actually now doing what we say we do on the box. We're actually doing those concept studies. We're moving them towards FEED-ready, and this is actually the actual pathway that we see the company is best suited for to actually grow to the next stage. I'll hand back to Glenn here to talk a bit about the sales pipeline.
Glenn Corrie: All right. Thanks, Tom. And yes, Ben and the team at Energy Pathways are doing great things on the ground. They're also really exploring that graphite market as well, Tom, in the U.K., which is also getting a lot of momentum. So we're excited about that project. The pipeline is here. We've updated a little bit. You'll see we've added the live projects that we've got. We've got that first-mover advantage, we think, importantly, in Asia, Europe and a bit of North America. You will have seen in the last quarter, we were sitting at around 45 active global customer leads. That's sort of risen to over 50 now. To give you a bit of color on what's come in, we've actually had 3 new steel opportunities on the back of our announcements of POSCO and Whyalla. So the steel industry, as we'll talk about shortly, is really getting a lot of momentum. We have EV company out of Europe that is exploring and looking at the -- not just the hydrogen side, but also the graphite side and one large gas and power utility out of Asia Pac and also carbon trading group in the U.S. So we continue to see big demand for the tech. Asia Pac is starting to really get a lot of pace as they have limited opportunities to decarbonize and methane pyrolysis fits just beautifully into the supply chains in those areas that have limited access to carbon capture and renewables. So we continue to explore opportunities there. If you club all of those opportunities and those blobs together, our pipeline adds up to about 1.5 million tons per annum. And as you remember from the first slide or one of the earlier slides, -- that's over 1.5% of the global demand today. So it's a big pipeline. Of course, we work through it systematically. We've also had some shareholders and observers reach out and offer up some opportunities, which we love. One that I will call out is an RFP in the U.S. called MACH2, which is the Mid-Atlantic Clean Hydrogen Hub that is out there at the moment seeking proposals from hydrogen suppliers for $1 a kilogram. And on the back of that, with ability to secure hydrogen offtake in 2030, and it fits a lot of the opportunities that we've got, and it ticks a lot of boxes for Hazer. So we continue to be active on the ground globally with our pipeline. Just shifting gears to steelmaking. We had a lot going on in the quarter with steel, and Tom will talk to some of the opportunities very shortly. But just so that everybody is aware of how our technology fits into steel. This was in our Whyalla announcement, but just a little bit of an explanation. Steel, of course, is a massive industry with a massive problem. It's 8% of the world's CO2. Our tech is actually a very perfect fit for steelmaking, very strong synergies and where really everything ties together for us as depicted in that illustration. There's clean hydrogen that's used in the direct reduction process of iron ore into iron, and it's got a built-in graphite offtake because graphite is used extensively in the production of carbon steelmaking, in particular, in the use of a recarburizer in the electric arc furnace. So it really is where both prongs of our technology fit wonderfully into one application and that built-in graphite offtake is just so valuable for us. There's other synergies. Of course, we use an iron ore catalyst, and that's consistent with steelmaking. We produce and can produce hot hydrogen that integrates into the DRP process that minimizes energy intensity of the overall process. And importantly, the economies of scale. It's a large industry that needs a large solution. And of course, with Hazer's fluidized bed reactor, we're capable of getting up to very, very large scales that fit nicely into steelmaking. So it's a lot where everything comes together for Hazer, and that's really an extension of several opportunities that Tom will talk to now in terms of Whyalla. Thanks, Tom.
Tom Coolican: Thanks, Glenn. Yes. So the Whyalla Clean Steel bid, I'll just give a quick update there. The process for the sale of the Whyalla Steel Works is a government-led and highly confidential process. So there are limits on what we can share. As publicly announced, Hazer has entered into a binding MOU with M Resources, recognizing Hazer's ability to decarbonize steel. M Resources have submitted their bid as part of the process to acquire the Whyalla Steelworks. Hazer technology was a key component of their bid and provides the decarb component. KBR is also supporting the M Resources bid. KBR has a long history of supporting large infrastructure projects in South Australia, including at Whyalla itself. So KBR knows the lay of the land and the ground really well. And look, we're genuinely excited about Hazer's ability to decarbonize the Whyalla opportunity. But also more broadly, it's just another recognition that the Hazer technology aligns with steelmaking very, very well. So it's something that we feel is probably one of the best fits that there is going around for how you can deploy Hazer.
Glenn Corrie: So just on POSCO, thanks, Tom. On POSCO, you will have seen we extended our strategic partnership with POSCO. They are the sixth largest steelmaker. In fact, they're the largest outside of China. We're very privileged to be partnering with POSCO in integrating and deploying our tech into clean steel, particularly in South Korea. And on the back of a lot of successful graphite testing over the last quarter, that extension has been signed. Again, big industry, big player. The HyREX process is very advanced. Again, it's a DRP electric arc furnace process. We're now focused having gone through that stage gate of graphite testing. We're now developing the next steps for the project. So that's something to look out for over the course of the next year or so. So a really important partnership for us as we continue to highlight the importance of our technology and its fit into steelmaking. That's probably a natural transition into graphite. Perhaps, Tom, if you wouldn't mind talking to sort of where we are with application testing and the next phase of our graphite monetization plan.
Tom Coolican: Absolutely. Thanks very much, Glenn. Just to call out, I guess, this is probably one of the most integrated team efforts that Hazer has done over many years. The graphite has been studied by the universities. It has been developed in all sorts of different applications. And I think now it's sort of coming to a natural business case development. So it's really come out of the research and study. And something to call out, we'll move on very quickly from this slide, but something to call out is that this is -- the Hazer Graphite is an absolutely unique product. It is not standard graphite. It has its own unique properties. It's not carbon black, and it's not other products as well. So the research has given us the insight into what this product is. And now the application development uses that research to actually be able to deliver it to the largest global markets. So just moving on to the next slide there, please, Simon. So the Hazer Graphite being this versatile and valuable product, what we've gone and done basically is we've assessed our graphite across a number of different industries, and it continues to be very encouraging from the results. Where you can see from the strategy that we're looking is for the world's largest markets where we have the largest consumption of carbon-based product that is around the world. And if you think about concrete, concrete is the most significant man-made product in the world in terms of volume. Our strategy, I think that over the last year, especially, we've really refined this strategy to target very specifically the response to market movements, but also the focus on these large volume markets with a genuine direct drop-in application. So what I mean by that is that out of the back of the reactor with no post processing. This product can be dropped straight into these applications, and that's where we've been really looking. And the key for this, obviously, is that the attractive price point, we have a minimum price that we're targeting. And what we're seeing is that at the moment, typically above USD 500 a ton is where we're aiming to deploy our graphite. The work completed so far from the work priority markets that are emerging for us. Iron and steel manufacturing is definitely really high on the priorities just because of what we talked about before with the synergies in using the hydrogen as well as the graphite. Concrete additives is another one where you actually see pretty promising results so far and more to come and also asphalt binders. Now customers there are seeking lower emissions carbon products. They're trying to get away from either the high CO2 products that are post generated or from the mined products as well. And so these are sort of the largest addressable markets that we've been able to identify in the world where we get that price point that we're really chasing. At the same time, and Glenn mentioned it before, we continue to receive strong inbound interest from critical minerals applications. So EV manufacturers, battery manufacturers, defense applications, high-value sectors. These are much more longer-term qualification processes, and they will require post processing. So we've set up our strategy to be short-term large-scale addressable drop in market and medium- and long-term post-processing market so that we can continue to address those inbounds as they come to us. Ultimately, they're not going away, and we need to be able to support that critical minerals view. Finally, our recent MOU with Kemira sort of really strengthens that view with that and the work we're already doing through our Veolia partnership that this particular type of graphite with its properties has some promising opportunities in water treatment as well. And that just shows sort of the breadth of capability of the specific Hazer graphite and its unique properties. Back to you, Glenn.
Glenn Corrie: Yes. Thanks, Tom. And I was on a call with the DOE last night, actually in the U.S. and graphite is an absolute priority for the U.S. at the moment and arguably over and above hydrogen. So it's quite a nice fit for us that we can effectively take a gas feedstock and effectively convert that into hydrogen, but also a critical mineral that is so desperately in need in some of these developing nations or developed nations. Just wrapping up, in terms of the corporate side. We just included a bit of an update on government policy just because we see things changing. We've actually had the Arena Board and management at site, which was an excellent engagement. We've come a long way since they backed us back in 2020 or thereabouts. The CDP, of course, operated very successfully. The tech is going to market. So it's a success story in that respect. The pipeline has grown enormously. So I think they were pleased to see the progress that we've made. We talked a lot about emissions. We talked a lot about cost positioning of Hazer relative to green hydrogen and all the other hydrogen pathways. And I genuinely believe that these engagements are super critical for Hazer as policy continues to evolve. And we're starting to see that shift. Some of you may have seen, but the Guarantee of Origin scheme is now out for formal consultation on an amendment that we expect to include methane pyrolysis. So that's strong recognition of Hazer and strong recognition of this extremely viable pathway. I also spent time in Canberra. I met with -- had a privilege of meeting with Minister Ed, the Minister for Industry Science and Innovation, excellent conversation, keeping Hazer relevant in Canberra, but also at the policy level. I met with the Climate Change Authority, the Critical Minerals Office, of course, just to position Hazer and how we fit into the sort of the ecosystem of decarbonization technologies that are available. And so really good feedback on the tech, the progress, but also the funding programs that are available and the grants that are out there now. It's much broader than it ever was. There's industry programs around clean steel, green iron, Whyalla specifically, there's over, I think, at least $1 billion being allocated to Whyalla from the federal government as liquid fuels, critical minerals, they're all open, and we're all exploring all of those at the state level as well, WA, South Australia has earmarked $400 million for -- specifically for Whyalla technology. So we're hunting down and exploring all of these opportunities, and we're very well positioned where we are as a company and an advanced technology. I think that's pretty close to the end. I think if we just move to the next slide and then open up the call for Q&A, I've seen a bunch of questions come through already. So we're keen to get on to those. In terms of our next 12 months, we're going to continue to come out with updates of what the time line and the milestones look like. This year is really all about converting pipeline into licenses, and that's a strategic imperative for us. I hope you can see the signposts are there, the partnerships, the early runs on the board, the design package is there. The pipeline is growing. The funding position is strong. So we're in a very, very good position to execute on those projects and opportunities that give us that pathway into licenses. And we're going to leverage KBR. We're going to leverage all of the work that we're doing with graphite. And just a reminder that one deal here, one sizable deal at 50,000 tons per annum is in our economic model worth about $80 million to $100 million of license revenue. So you can see the size of the prize is there, and that's what we're focused on effectively realizing. We've got to advance our key projects through FEED and contracts. We've had a few questions on Fortis, and we'll talk to that as well throughout the quarter. We're building momentum again there, and we're moving forward very positively. We lost a little bit as we went into Christmas, but we're fully aligned with Fortis, and we've got a plan of attack there, and we'll come out with more information on that shortly. Whyalla is a real game changer, as Tom identified for us. It could be a very transformational project and strategic, not just for Hazer, but for Whyalla as well as for Australia. So that's -- we're really excited about being in the mix there, and we know our technology is differentiated. Graphite monetization strategy is coming together. Look out for near-term updates on that, our strategic partnerships, our offtake signposts -- and then finally, unlocking new growth, new strategic partners, new investors, new deals, new markets. That's the focus of the company at the moment. Those 4 pillars of our strategy. Of course, that's underpinned by a robust financial strategy and a can-do attitude from the team. 2026 is really shaping up to be an exciting year for Hazer, strong tech tailwinds of the market, the government tailwinds, the deep pipeline, the partnerships and the funding position, and we're really excited about delivering. Simon, should we just turn to the Q&A? I just noticed we've 35 minutes or so I'm keen to get some questions going.
Simon Pitaro: Yes. And we had probably 12 come in before we started already. So let's just start with those. So Kapil Seth e-mailed earlier about a KBR selecting a biomethanol project in the Middle East. Did you -- and given the KBR Hazer alliance and the overlap work with the demonstration plant, are there active discussions ongoing with KBR to use the Hazer Tech for this plant?
Glenn Corrie: Yes. No, that's a good question, Phil. Yes, look, I can't comment on specific announcements that we're going to make or will or may make. But KBR, in particular, has an extensive and strong relationship with many players in the Middle East. There's a number of big Middle East projects that are available or open at the moment, as you've identified. We are throwing those into the pipeline. They're all under consideration. The Middle East continues to be a very strategic market for us. It's got low gas prices. It's a big ammonia, probably one of the largest ammonia markets in the world, along with methanol, big capital, big players. They're not necessarily the fastest out of the blocks, but they are slower burners but big -- but potentially very big projects and too big to ignore. So definitely a strategic market that we'll continue to look into with the right partners.
Simon Pitaro: There's been a couple on M Resources, so I'll try and put these together. So Atosha asked, how did the M Resources partnership come about and why were they considered to be a good partner? And I guess if they don't be selected, do you think there's an option for you to still be used in whoever is selected?
Glenn Corrie: Very good. Okay. So you might have picked up Atosha in the announcement that we're partly a free agent. Of course, that if -- and we've had this discussion, of course, with M Resources in terms of their ability to win and if they don't, what happens. Look, we've known a lot of the M Resources team separately for quite some time. So there's an established relationship there. It was a natural discussion as they moved into the process. We got to know what they were doing and how they were sort of thinking about the decarbonization aspects of Whyalla. They've made an assessment of Hazer, but also other tech methane pyrolysis technologies. They chose us as well as electrolyzers. They know there's a massive difference between us and electrolyzers. It's literally night and day. So it was clear from the get-go that Hazer could be a very strong fit for that project and the whole decarbonization plans for that region. It moved fast as we got into the back end of last year. And so we got talking about how we sort of would bring this together. We got involved with them. We sort of papered it all up. And from what I've seen, I know Tom has said that we're obviously under confidentiality, strict confidentiality, it's a government process. But what I can say is from what I've seen of the bid and how Hazer fits into it, techno-economically, I'm very confident that their bid is a very, very strong one. And so we are going into this very positively. It's a process that will take a bit of time, but it's a very strategic project for everybody involved. So we're, again, excited about the opportunity with them.
Simon Pitaro: Excellent. Let's just move straight into Fortis. Has the site been identified? I know you sort of touched on it briefly, and there's a few other questions about Fortis. So can you just give a quick update on that?
Glenn Corrie: Yes, I've seen those, Simon. Yes. So good questions. Look, more broadly, the project is going well. We would have liked to have provided an update at the back end of last year. I think Christmas and New Year got in the way and holidays and the like. But we're back at it. I know feeder under the desk. It's a large project. It's advancing well in strong collaboration with FortisBC. We engage frequently. I know Tom is dealing with the team in Canada weekly, if not daily at the moment on aspects of the project. Our focus is on project maturation. Site FEED, completing FEED with the right partner and getting the project to a development FID. They do take time. We're making good progress, and we're exploring ways to continue to accelerate -- how do we accelerate this project. I know from Nick and Joe and the team in Canada, it's a priority project for Fortis. It's got government backing government support. They've chucked CAD 11 million behind it. And again, just keep an eye out, we expect to make an update on that project in the near term.
Simon Pitaro: All right. Can you elaborate on the status of the larger reactors?
Glenn Corrie: Do you mind taking that one??
Tom Coolican: Take that one, if you like, Glenn. Yes. Thanks. Yes. Look, the design package we're working on at the moment is a design package, which is fundamentally built around our proprietary reactor hardware design. Where we've targeted the base design is 30,000 tons per annum of production, which is already significantly large in terms of hydrogen production. The design that we have developed has the ability to be scaled up or down from that point. So one of the key elements of our design was we didn't want to go with something which was sort of scale up, scale up, scale up to the point where we hit a limit. What we decided to do is go for actually quite a big reactor design and then be able to scale it both ways down and up, so we can go all the way down to prototyping and all the way up to 50,000, maybe 100,000 tons per annum single-train capacity, but I don't want to push our CTO too hard on what the maximum size would be. The concept of fluidized bed reactors has been around for a really long time. It's a well-trodden path. And so we work with the world's experts in fluidization in process design and in these reactors so that we are confident that we're not going to sort of invent anything brand new here. We're just using the best in the industry to get it exactly right. Some of the principal challenges that we have that are the areas that we feel we've actually had the most opportunity to succeed is in optimization of heat, the conversion basis and the quality of the product. So if we're comfortable that these are actually under control at this 30,000 ton design. This gives us the capacity to be able to move up and down from there. And yes, it's something that we know is a huge challenge for the industry and having those ones really under control, I think, is actually key for us.
Simon Pitaro: Thanks, Tom. I think let's probably move to graphite because there's quite a few on the graphite. And so Dave sent this one in, but it covers quite a few of the others there as well. Are there applications for Hazer graphite that are now good to go? No further testing needed?
Glenn Corrie: Yes. So Tom, I'll let you jump in. I think, look, with the graphite work that we've been doing is extensive, as Tom explained. We've got -- we're working it internally. We work with all of these strategic partners, Kemira the latest. I get often asked about why an MOU. MOUs in my -- in our view, are value creating because we have partners that actually do work and contribute to the overall strategy of the company. And often it comes as part of the collaboration. But in Kemira's example, we're doing work with water treatment alongside some of the work that we're doing with Veolia out of France. So there's a lot of work going on. We've identified, as Tom said, some strategic markets in asphalt, cement, asphalt, bitumen, steelmaking as priority markets, what we call drop in. limited or no post-processing or preprocessing before they go into the particular application, but they're large markets that have got what we call high confidence to them. And their pricing ranges can be anywhere between USD 300, USD 400 a ton and over $600 or $700 a ton. And that's consistent with our economic model. And of course, that adds great value to the technology and the techno-economics, but also the overall cost of supply of both the graphite and the hydrogen product. So lots of markets. We're prioritizing them. Tom, anything to add on that?
Tom Coolican: Yes. I probably just add one thing. No further testing required. Ultimately, your end user, say, for example, it's a concrete manufacturer will do their own testing as well. So we can go with a product, which we say is good to go, and that end user will actually conduct their own tests because they're going to have to demonstrate to the infrastructure project or the government or whoever that it is actually as good as what we say. So there will always be that end user component to the testing, but that shouldn't stop us from actually having everything certified and ready to go so that end user can actually do their final testing.
Glenn Corrie: Yes. And steel is built in and is a built-in offtake. That's a beautiful way of thinking about it. The carbon actually goes into the production of carbon steelmaking. So it's a pure sequestration of CO2 as well. So there's a lot of benefits. We don't often call out our graphite as low emissions, and we should more frequently, frankly. But the -- effectively, the emissions associated with our graphite and the way policy is shifting is a very valuable product, not just from an application perspective, but also from an emissions perspective and a pricing point as well.
Simon Pitaro: I think we've probably got time for 2 more. David Sell sent this one earlier. Is there any outstanding ARENA grant money due for the operation of the CDP...
Glenn Corrie: Thank you, David. Yes, there is. In fact, there's other grant funding available to us as well. I think it's around $1 million, and some of that's going to be released this year. So that's another form of nondilutive. On top of that, I think we've got $2 and a bit million from Mitsui, the Western Australian government, which has got some milestones coming up as well. So these are very valuable funding inflows for us because they're nondilutive, and they contribute to the growth strategy of the firm. There's other grants in the pipeline as well. There's industry growth program and some of those other grants that I mentioned. So we're going to lob in bids on some of those as well.
Simon Pitaro: All right. And a final one here. Does Hazer have any analyst coverage? And if so, has that had a positive effect on the register?
Glenn Corrie: Yes, we do -- it's a good time to perhaps call out an analyst actually. We've got on coverage, Declan Bonnick from Euroz. Declan initiated, I think, last year or maybe the year before, but very good initiation report. Declan has -- he does updates frequently. I think his target price is sitting at somewhere between $0.70 and $0.80. We've also got Philip Pepe from Shaw and Partners, who covers us. I think his target price is also in the -- in that same sort of range over the next 12 months, $0.70 to $0.80. I think if you'd like to get hold of their research reports, then either reach out to us or reach out to the brokers directly, and I'm sure they can get you a copy. They're excellent analysts. They've been across energy, tech, in the space for a long time. We're privileged to have both of them on board. And I'm also confident that we're going to probably pick up a few more analysts this year and see what we can do with getting them to site and across the -- closer to the technology.
Simon Pitaro: All right. Thanks, everyone, who joined us today. Thank you to Glenn and Tom for the presentation. Look, Glenn, I might just hand back to you for a closing comment before I hit the end button.
Glenn Corrie: Yes. Look, I don't have anything more to say other than thank you for supporting us. Look, we're in a really good position. We did a lot of work last year to set the foundations of -- for calendar year 2026. I feel like we're in a very good position. I know sometimes some of these things don't go as fast as we'd like. You probably don't appreciate that I'm the most impatient person in the world. So join the club. But we've got a very good tech. It's a very, very strong tech. We've got a strong partner in KBR. We have got, I think, the turning tailwinds now of government support worldwide, including in Australia. We've got that deep pipeline of opportunities that's growing also in Australia that's getting momentum. And we've got that extended runway, that funding runway of over $17 million to enable us to effectively kick some important goals for the company and the technology. So again, thank you for joining the call today, and we'll endeavor to get back to you all with answers to the questions that we weren't able to cover today. Thank you.
Tom Coolican: Thank you.